Operator: Good afternoon, ladies and gentlemen and welcome to the NewMarket Corporation Conference Call and Webcast to review First Quarter 2022 Financial Results. At this time, all participants have been placed on a listen-only mode. It is now my pleasure to turn the floor over to your host, Chief Financial Officer, Brian Paliotti. Sir, the floor is yours.
Brian Paliotti: Thank you, Mathew, and thanks to everyone for joining me this afternoon. As a reminder, some of the statements made during this conference call maybe forward-looking. Relevant factors that could cause actual results to differ materially from those forward-looking statements are contained in our earnings release and in our SEC filings, including our most recent Form 10-K. During this call, I may also discuss the non-GAAP financial measure included in our earnings release. The earnings release which can be found on our website includes a reconciliation of the non-GAAP financial measure to the comparable GAAP financial measure. It contains significantly more detail on the operations and performance of our company. Please take the time to review it. I will be referring to the data that was included in last night's earnings. Net income was $59.3 million or $5.75 a share compared to the net income of $69.7 million or $6.38 a share for the first quarter of last year. Petroleum additives net sales for the first three months of 2022 were a record $660.3 million, compared to $564.9 million for the same period in 2021, or an increase of 16.9%. Sales increased $95.4 million, mainly due to increased selling prices and increased shipments. Shipments increased 2.3% between periods with increases in both lubricant additives and fuel additive shipments across all regions, except Asia-Pacific, which reported decreases in both lubricant additive and fuel additive shipments. Petroleum additives operating profit for the quarter was $86.9 million lower than the first quarter operating profit of last year of $94.1 million. The decrease was mainly due to higher raw material cost and overall operating costs partially offset by increased selling prices and shipments. The operating margin was 13.2% for the first quarter. While operating profit and margin were below last year's first quarter, they both showed significant improvements over last quarter, the fourth quarter of 2021. Margin management will continue to be a priority in 2022 as we see continuing upward pressure on all operating costs. In the past, cost increases have primarily been raw materially -- raw material related. But in the current inflationary environment, many cost of goods sold inputs are under significant pressure. We will continue to work diligently to return our margins to our historical levels in the mid to high teens. In addition to general inflationary environment in which we are operating, the Russian war against Ukraine has introduced additional challenges to our business. With sanctions in place against Russia, our business is being impacted, but the impact is small in relation to revenue and profit. And we will try to offset this loss with gains elsewhere. During the quarter, we funded capital expenditures of $12.6 million and paying dividends of $21.6 million. We also prepaid our $350 million 10 year bonds, which were due in this December, reducing our debt and interest costs. With those bonds paid off, the weighted average cost of our $650 million and fixed debt is 3.1%. We continue to operate with very low leverage with net debt to EBITDA ending the quarter at 2.2x. This ratio is slightly above the high end of our normal range of 1.2x. But we have stated that there will be periods when we're outside the norm, and our target range remains unchanged. For the full year 2022, we expect to see capital expenditures in the $65 million to $75 million range. Thank you for joining me for the call today. We appreciate your support. And we would like to say thank you to all of our employees, customers and shareholders for all that you do as we continue to see a bright future for our company ahead. Matthew that concludes my planned comments. I am available for questions via phone or email so please feel free to contact me directly. Thanks again to all and we will talk to you next quarter.
Operator: [Operator Instructions]
 :
 :
Operator: Thank you, ladies and gentlemen. This concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.